Operator: Good afternoon and welcome to the 4Front Ventures Third Quarter 2022 Earnings Conference Call. This call is being recorded. . As a reminder, during the course of this conference call, 4Front management may make forward-looking statements that are based on current expectations and are subject to a number of risks and uncertainties that may cause actual results to differ materially from expectations. These results are outlined in the Risk Factors section of the company's filings and disclosure materials. Any forward-looking statements should be considered in light of these factors.  Please note, as safe harbor, any outlook presented in today's -- as of today and 4Front's management does not undertake any obligation to revise any forward-looking statements in the future.  I will now turn the call over to Andrew Thut, Chief Investment Officer of 4Front Ventures. Please go ahead.
Andrew Thut: Thank you, and welcome, everyone. I'm joined today on the call by the Chief Executive Officer, Leo Gontmakher; President, Karl Chowscano; Chief Financial Officer, Keith Adams; President of California Operations, Ray Landgraf; and our EVP of Finance, Jake Wooten. Because Leo is a bit under the weather today, I'll begin today's call with a review of our ongoing strategy before walking through our operational trends and highlighting our quarterly milestones. I'll then hand the call over to Karl, who will expand on our Q3 financial results and provide us an update on continued activity through the second half of the year before looking ahead to what's to come in early '23. We'll conclude with a question-and-answer session where the entire management team will be available for any follow-ups.  So at 4Front, we're guided by our winning strategy of replicating operational excellence, beginning with our success in Washington and learning from our experience and -- experiences and best practices from each of our other cornerstone markets. We've built a robust platform and unmatched operating model that we are replicating across our footprint.  Our strategy and methodologies continue to evolve as we optimize our high-margin production capabilities and expand our product portfolio state by state. Our belief is that the sweet spot in the cannabis supply chain is manufacturing low-cost, high-quality consumer cannabis packaged goods at scale. As the U.S. cannabis industry continues to mature and pricing compresses, the market is coming to us as the focus turns to operational efficiencies and experience and competitive markets translate into market share gains. As we reflect on our achievements to date, we cannot be more excited for how our company is positioned in this evolving industry.  In an effort to not bury the lead, let me start out with this quarter's key headlines. First, we continue to see strong operating momentum across our business, posting a 9% sequential revenue increase and a 13% increase from Q3 2021. We were able to achieve the sequential growth with no new material assets coming into our portfolio.  Next, our core strategy of replicating low-cost production methodologies and introducing our quality products to new market continues to play out. In the third quarter in Massachusetts, we doubled the amount of flowers sold over the second quarter, posting record revenue and margins in a state despite pricing headwinds. We believe our market share in Massachusetts is now in the mid-single digits with plenty of room to go up.  Third, due to our focus on cost controls, operational efficiency and profitable growth, we are expecting positive operational cash flow by December of 2022, next month. Next, California and Illinois are shaping up to be meaningful growth drivers of our business in '23 and beyond. And last, we are more than adequately capitalized to achieve our growth plans, and as mentioned, expect to return to positive operational cash flow. We ended the quarter with over $5.3 million in cash on the balance sheet and anticipate an additional $8 million to $10 million of cash to be added to our balance sheet, but through the end of the year in the form of advances against employee retention tax credits. These are non-dilutive. We have already received trade confirmations for the first $5.7 million tranche of these tax credits expected to fund later this week or early next week.  Now to the details. Our retail operations are performing at or above expectations across the board with growing customer counts as we continue to raise the bar with product innovation and quality improvements. We believe we are poised to meaningfully accelerate the trajectory of our growth as we leverage our investments in state-of-the-art automation and manufacturing process facilities in California, Illinois and Massachusetts. Through this approach, we are poised to triple or quadruple the revenues of our company within the existing geographic footprint over the next 3 years without a significant capital requirement.  The cannabis industry's unique challenges have not deterred our confidence in this enormous opportunity. In fact, the obstacles that many other companies are facing only served to strengthen our conviction and our unique position in the U.S. cannabis landscape. With the automation and scale in our manufacturing facilities, we can drive efficiencies and savings that no one else can match.  The existing $100 billion U.S. cannabis market is shifting from the illicit and gray markets to state licensed operators. And despite inconsistent capital markets, an onerous tax system and delayed state rollouts, that trend should continue as customers demand safety and consistency in their branded products and states look to maximize tax revenues and drive employment.  We remain increasingly optimistic we will see incremental cannabis reform at the federal level this year. And we're encouraged by President Biden's actions last month, pardoning thousands of Americans convicted of simple cannabis possession and calling for a scheduled review of cannabis. However, until that time arrives, we remain focused on what we can control and perfecting what we do best: manufacturing and cultivating high-quality products at scale and honing our strategy to keep costs low while enhancing product quality. This has resulted in one of the most nimble and diverse lineups -- product lineups in the industry, further insulating us against pricing pressures and ultimately benefiting our consumers with a variety and price points they deserve.  Our thesis continues to play out in real time. And in the third quarter, we saw a meaningful shift in our growth markets of Massachusetts and California. In fact, the third quarter for Massachusetts was its top quarter in net sales to date as our new genetics and post production upgrades were introduced and performed extremely well in an otherwise difficult quarter for many in the state.  We've made considerable progress strengthening our position in our cornerstone markets throughout the growth of our existing operations and advancements of strong pipelines of potential partners. We believe this has set us up to continue this positive momentum through year-end and into '23.  I'll now provide a brief update on our core markets. First in Massachusetts. Our market share continues to grow steadily, up approximately 40% from January '21 for the latest data and hitting an all-time high of what we believe to be mid-single digits market share. We owe this achievement to our exceptional operations team and the improvements we have made to product quality and bulk pricing. We have always operated and excelled in competitive markets with pricing pressure, and our experience of doing so continues to serve us very well.  The quality of our flower and our genetic portfolio in Massachusetts has improved dramatically, doing no small part to our acquisition of NECC and its Holliston facility in Q1 of this year. Our company's focus on always finding ways to offer even better products and market-leading price points.  Improvements to our growing techniques and post-production procedures have supplemented our already top-tier operating efficiencies and industry-leading yields. In fact, we have already incorporated these meaningful methodologies from Holliston, the best design facility we've ever seen across our Worcester, Georgetown and Elk Grove facilities. Finally, we are currently in the process of adding them to our Washington managed facility as well.  When prices softened in Massachusetts earlier this year, we were able to meet the challenge head on, and we are now seeing great sell-through rates at our retail locations due to new wholesale pricing and product innovations. For example, we've been able to successfully drive more sales of our popular Mini Budz shake, allowing us to make room for the excellent new product coming on to the shelves from our Holliston facility.  Our low-cost production has allowed us to drive volumes of higher quality flower. And as a result, we also saw a quarter-over-quarter increase of approximately 101% in flowers sold in Massachusetts in the third quarter.  Also noteworthy is the increase in volumes for our vapes and edibles, each of which saw a double-digit increase of 45% and 21%, respectively, quarter-over-quarter. In the third quarter, we also launched 4 new brands in Massachusetts, one of them being Island. For Island's debut in the base state, we unveiled 11 new strains of packaged flower produced particularly for this market. In the 5 weeks since the Island launched the brand, we've sold 33% more revenue than the previous "best brand," which is our private reserve brand, did during the 5 weeks prior to the Island launch. This gives us early indications that we can support a premium price with the addition of this California brand and improved quality.  We are also seeing the consumer following being established, and this is even before we introduced the Island pre-roll and infused pre-roll products, which are set to hit the market in several varieties in the coming weeks.  Moving to California. We continue to build momentum. Our strategy is progressing as our sales continue to ramp and opportunities for expansion evolve. As a reminder, we are pursuing a 4-part strategy in Cali: one, direct sales of our award-winning and proven product suite; two, third-party processing and manufacturing; three, select brand acquisitions; and four, the opening of select retail locations.  Before I address each of those individually, let me share a few observations on the California market. First, most legacy brands in the state continue to suffer as pricing for both flower and derivative products remains challenged. Few operations have the low-cost production capabilities or the capital to compete over time. In the near term, struggling operators are selling their products at severely discounted prices in an effort to stay alive. This is unsustainable and, over time, will allow us to opportunistically tuck-in brands that we desire with advantageous economics.  Second, retailers are actively trying to expand the percentage of shelf space dedicated to their private label products. And they need quality third-party processing and manufacturing to achieve that goal. Not only is our facility a one-stop shop, allowing customers to achieve other savings such as fuel costs. But due to our scaled automated processes, no one can beat us on price.  Third, no capital is coming into California right now, which not only ensures that no one will replicate what we have built, but also adds a sense of urgency for operators to switch to our service as they look to cut costs and maximize profitability.  The momentum around our Commerce facility continues to build, and we see steady market share gains month-over-month in our direct sales efforts as the quality and pricing of our products is driving deeper penetration into existing accounts and we continue to add new accounts.  On the branded front, Island's high-quality products continue to perform. Since introducing and integrating Island into our California product suite, the brand has been well received, and our sales force has loved having established branded flower in their sales bag. Island is back in growth mode and selling through flower about as fast as it hits the menu.  Just this month, we expanded our offering of Island to California with the launch of Mini Infused Prerolls. These new prerolls are crafted with single strain, all-natural flower infused with highly potent THCA diamonds and are offered in convenient 0.5 gram format and 6 premium strains. We anticipate a positive reception to this new product with increases of our competitiveness within the infused category. We believe Island is poised for even further growth as we continue to introduce additional strains to its popular lineup and drive volumes to enable consistent fulfillment to our partners as demand picks up alongside the expansion of our offering.  In addition to Island, our popular award-winning brands are increasing their penetration in California. Our crystal clear vape products have become the fastest-growing brand in our California portfolio and surpassed $300,000 in monthly sales in both August and September. We expect this growth to persist as we continue to introduce new innovative SKUs.  Our Hi-Burst fruit chew is the #1 performing edible in our portfolio. Marmas gummy has continued to gain traction as we continue to innovate with recently added SKU that became a top performer in its first month debut. Some innovative new packaging is also coming for both Hi-Burst and Marmas to mark an evolution in both top-selling brands.  And in the third quarter, we closed our acquisition of Bloom Farms, a brand known for its collection of California-crafted products. Its range of products include tinctures, vapes, concentrates in addition to its wellness line that offers various hemp-derived products such as vapes, tinctures and topicals. We began manufacturing Bloom Farms products at our Commerce facility in August, and we will leverage its active partnerships with leading retailers and distributors to further expand availability of these products in California and beyond.  Bringing this brand online diversifies our vape offering, which remains one of our fastest-growing categories in California to date, while also expanding our topical offering. We continue to explore new ways to further diversify our product offering. As a function of where we sit in the supply chain and the automation and scale in which we operate, we have a multitude of levers, styles and knobs we can adjust as market conditions and preferences dictate, and we're always actively reviewing and tweaking our portfolio to optimize results and drive future growth.  On the private label side, we have active partnerships with 5 of the leading retailers in the state, including several large region-leading operators with numerous dispenser locations, a leading statewide delivery service and a national publicly traded operator. We are now producing and packaging gummies, vapes, infused prerolls, distillate, diamonds, you name it. And we're making it for these major operators significantly cheaper and more profitably while continuing to drive competitive margins with little to no comparably scaled competitive operators in the state.  We have a robust private label pipeline in California as well with the strategic focus on top retail partners where we can secure shelf space within their retail footprint, large strategic partners where there is material revenue and growth opportunity, combined with other strategic alignments such as toll processing. We have not yet been beaten on price for these deals and are looking at least at a 40% gross margin line of business in today's market.  Private label partnerships in California typically start with small batch orders or tests to establish reorders. Over time, we believe we can move some of these partnerships to more formal private label contracts, but this is not yet standard practice in California outside of toll processing and supply contracts.  This is a solid business. Switching costs are high once partners are on the forefront platform. So we believe we can land and expand with many of these partners to grow revenue over time while minimizing churn and maximizing the value of our assets.  We've said before that we view California as a flywheel business. As we progress through the end of the year and into '23, we expect to see steady and continued increase in utilization of our commerce facility. While the California market continues to have its challenges, we remain very confident that we are incredibly well positioned to continue to profitably take share in what is now the biggest cannabis market in the world.  Additionally, we believe 4Front is one of the best positioned companies in the country to leverage California's low biomass costs once the state can supply the rest of the nation through interstate commerce. Our highly scaled low-cost automated platform will be able to produce and export products that no operator in the country will be able to compete with on price. If no one can beat us on price in California, no one will beat us on price in the U.S.  Next, in Illinois. We continue to see improved product yields, quality and sales volume. Due to the excellence of the techniques and methodologies acquired from Holliston facility, plus other refinements to our production processes, we have made striking improvements to the quality of our flower during the first half of this year.  After recently introducing our infused preroll Terp Sticks to Paxton, Illinois, they've quickly become the fastest-growing product line in our history. Additionally, we expect to launch premium flower before the end of the year, and we continue to see solid performance from our 2 retail locations, and we haven't even rolled out derivative products yet, which can drive significant upside.  Notably, in the third quarter, we saw double-digit sequential growth in new retail customer acquisitions and daily sales across the Mission dispensary presence. Our near-term plan includes an increased focus on expanding our retail footprint in the coming months as our 250,000 square foot cultivation and production facility in Matteson wraps construction and prepares to commence operations in '23. We hope to have up to 3 retail location -- retail licenses under LOI this coming week and have plans to further expand our retail footprint in the coming months. The opportunity in Illinois is right, and we are ready to go after it with our next-gen facility coming online, expansions of the retail store and addition of ancillary products to our product portfolio. We couldn't be more excited to leave our mark on the Illinois market.  With that, I'll now hand the call over to Karl for a deeper look at our Q3 performance. Karl?
Keith Adams: Thanks, Andrew. As I'm a little less sick than Leo, I get to bring home the baton. I apologize in advance for any unexpected pauses in the action if I have to mute for coughing attacks.  As discussed, our belief is that the sweet spot in the cannabis value chain lies in the low-cost, high-quality production of cannabis consumer packaged goods for sale. That's precisely where we've positioned 4Front as a company. And as a result, we are now witnessing the start of a significant leg of growth that will play out over the next 12 months, augmented by strategic and accretive M&A. And I do note, I want to emphasize that the high-quality element of that chain in our thesis has proven over and over to be probably one of the most important to us. Okay. In Massachusetts, we are incredibly happy with our performance in the third quarter, as Andrew noted, as we made significant strides across retail and ramped up production to accelerate wholesale actively despite continued pricing challenges in the market. Also, as Andrew mentioned, we posted our top quarterly revenue in Massachusetts to date in the third quarter. We're tremendously proud of this achievement as it demonstrates the effectiveness of the significant work we have put in to improve the quality of our flower and leverage our low-cost processing and production capabilities to serve this growing market.  I'd like now to highlight some noteworthy stats from the third quarter that demonstrate our strength and presence in this market. Quarter-over-quarter, we saw an approximate 71% increase in total wholesale customers, 23% increase in retail and wholesale revenue, 15% increase in retail average daily sales, double-digit sequential growth in new retail customer acquisition. And again, as mentioned by Andrew earlier, we are thrilled to have increased our market share in that state now into the mid-single digits.  With the ever-improving quality of our flower that is still working itself into the menus, and we're excited about that, we are very optimistic about this progress continuing as we close out the year.  I'll reiterate that our model is a step-wise process, adopted from our success in Washington state. We are always analyzing what is selling and what isn't and adjusting accordingly. We're adapting in real-time to the ever shifting consumer demand. And at each iteration, we further improve our efficiency and our bottom line. This is and very much remains a gorilla industry. It's what we do.  In California, we've demonstrated our ability to enter the market with our proven and award-winning portfolio of products that are priced as much as 50% lower than the leading incumbents. We are doing this while still maintaining healthy margins, which we expect to continue to improve as fixed costs are leveraged, and our competitors' product dumping comes to an inevitable end.  Because we started the year with a revenue base at 0 in California, the pricing pressures haven't created a grow over problem for us. In fact, we are bringing our scaled low-cost production to bear in a market where commoditization has already largely happened.  California is the largest cannabis market in the world and the land of the brand. While other operators are shifting operations away from the state, we are leaning in, building brand and taking share.  As our state-wide routes continue to grow during emerging and encouraging signs that the California legal cannabis industry itself will soon find some relief. A combination of factors, including the repeal of the cultivation tax, a crackdown on illicit grows and water usage, and the continued expansion of retail licenses all proved to be tailwinds. And this is all before interstate commerce will someday allow our regional hubs to service neighboring states.  We're already seeing more and more repeat buying from our retail customers, improving our monthly and 90-day average branded repeat customers each month since March, very important for us. All the while, our 90-day average wholesale customer accounts have grown to over now 300 locations from a base of zero when we entered the market less than a year ago in '21.  We continue to see a myriad of expansion opportunities in California in terms of brands addition, retail locations and strategic partnerships. Our market position allows us to take a methodical and disciplined approach as we seek to profitably build our California business. We believe that as this state continues to heal, we are, well, if not best positioned to emerge as one of the market share leaders due to our scaled, automated platform with little to no scale competition.  On to Illinois, which I'm particularly excited about. In Illinois, construction of our approximately 250,000 square foot Matteson cultivation and production facility remains largely on schedule. As mentioned last quarter, we are working through some customary challenges getting power to the site. Current projections from the power provider ComEd extend power connection to the end of Q2 '23. Whilst we are putting full energy into expediting this delivery date, we nevertheless are considering the cost effectiveness of introducing temporary power and scope phasing in the event it proves advantageous.  But for clarity, these common challenges are not expected to negatively affect the on-time substantial completion of construction at the end of this year. We expect to achieve success in Illinois at an accelerated rate, benefiting from our best practices, methodologies and techniques used in Massachusetts as we continue to bring best-in-class facility up to speed improved yet again the efficiency, high-quality products and processes will outperform in bull and bear market conditions, bringing from Washington into Massachusetts, into Illinois.  Let me reiterate a point I made on -- that Andrew made on the previous quarter's call about Illinois. With only 2 open dispensaries out of our allowable 10 in the state, we have enormous room for growth as we expand our retail footprint in addition to expanding our wholesale presence of low-price quality products in the medium term.  What is especially exciting is the manner in which Matteson perfectly lends itself to the methodologies and state-of-the-art techniques that we have brought from Washington and Holliston, Massachusetts. And consequently, we'll be extremely well positioned to take advantage of the increase in new retail, which is expected to come online over the next few years.  Meanwhile, we have great market penetration as it is. We have already sold into 90% of retailers in the state. With the recently announced 185 new retail licenses coming on board, we are actively seeking opportunities to both acquire and partner those relationships even further. We are hoping to have up to 3 such relationships under LOI later this week.  Now let me take a minute to underscore the growth engine that Illinois can be to our story. We are currently run rating just over $40 million out of Illinois between 2 retail locations and a small 9,000-foot -- 9000-square-foot growth, quickly eyeballing some other MSOs. In Illinois with large cultivation and production capacity and the full complement of 10 retail locations, I estimate that they are doing in the neighborhood of $250 million to $300 million of revenue. With Matteson coming online, the first box for achieving this kind of scale is checked. The second box is buttressing our wholesale capabilities in capturing the upside by additional -- by adding additional retail. So stay tuned there as we have a lot of unrealized potential in the state, and we're just getting started.  Let me review the numbers for Q3. Systemwide pro forma revenue for Q3 2022 was $37.3 million. That's up 9% from Q2 2022 and up 13% from Q3 2021. GAAP revenue for Q3 2022 was $32.5 million, up 14% from the prior quarter and up 25% from Q3 2021. This increase is, as planned, due to increased revenue in the company's wholesale revenue as it ramps those portions of its business in California, Illinois and Massachusetts. Q3 2022 adjusted EBITDA was $9.3 million, up a couple percent from the prior quarter, but up 24% from Q3 2021, representing an adjusted EBITDA margin of 25%. Continued growth of adjusted EBITDA and margins is expected to persist through 2023 as our operations drive increased production and higher sales volumes without material increases to overhead.  Now on to the balance sheet. As of September 30, 2022, we had $5.3 million of cash and $49.5 million of related party long-term debt, which doesn't come due until May 2024. We expect an additional $8 million to $10 million of nondilutive cash to be added to our balance sheet, as Andrew mentioned earlier, through the end of the year in the form of advances against employee retention tax credits. We have already received trade confirmations for the first 5.7 million tranche expected to fund, as Andrew said, either later this week or early next week, and we will be filing the additional returns to get the residual amounts shortly.  With this additional $8 million to $10 million, combined with, as Andrew mentioned earlier on the call, our expectation of being cash flow positive from operations next month, we are in a relatively comfortable cash position.  Further, as Andrew -- sorry. Further, as we execute on our strategy, our thesis continues to flex. We're continuously improving and actively introducing our brands products and best-in-class SOPs into new markets and growing scale successfully. We're adding new SKUs on a monthly basis, having developed and launched almost a dozen new products and product varieties in Q3 alone and roughly over 680 new SKUs year-to-date across our footprint, which brings me to my final point.  Our goal has always been to become a larger company by design. It's how our model operates best. While we are, of course, open to the right opportunity to be part of a larger enterprise, we will not compromise to do so. We will remain heavily invested and the continued creation of shareholder value by perfecting our low-cost production and manufacturing of quality products, improving our thesis time and again. Everything we are doing today builds our company and grows our value in the marketplace while also positioning us to be the ideal merger partner as the standard bearers of automation and efficiency at scale.  To conclude, we are confident we have found the sweet spot for outside value creation via the low-cost, high-quality production of cannabis consumer packaged goods.  We are proving ourselves to be a major piece of the cannabis landscape in some of the most exciting cannabis markets in the country, and we cannot wait to share on our continued success as we move forward. We are excited about our brands. And as always, I'm incredibly proud of our team and their dedication to providing consumers with a terrific user experience at a great price.  I'm convinced that the next 12 months will demonstrate the power of our model at scale, paving the way for a robust sustained growth in the long term and value for our shareholders.  With that, I will now turn the call over to the operator to open the lines for Q&A.
Operator: . Your first question comes from Shaan Mir of Canaccord Genuity.
Yewon Kang: This is actually Yewon on for Shaan Mir from Canaccord. Congrats on the quarter. So I was wondering if you guys could speak to the mix between house brands and third-party brands in Massachusetts operation and if there's been any view internally to shift more supply through your own retail channels. And I'm asking this because we've seen a lot of other players within the market kind of moving towards more vertical integration as a way to kind of combat the price dynamics throughout this year seen in Massachusetts. So I was just wondering if this is something that you have discussed internally. And what kind of room that you have at your stores to increase throughput for your own products?
Andrew Thut: Yes. Thanks. I'm going to turn that over to Leo. And you have to apologize for Leo's croaking voice, but I think he's best suited to answer that. .
Leonid Gontmakher: Thanks, Andrew. I just swallowed half a bottle with Chloraseptic here. In Massachusetts, we've definitely moved in that direction. And we've doubled the sales of our in-house flower all through our own retail, and we feel like we've reached a point where we're actually selling through everything that we produce. About 2/3 of that going through our own retail and 1/3 of it going wholesale. We're at about 90% sell-through of our own flower. There's a few products that we still source third party, and it's a good mix to have some third-party products as it helps us swap shelf space and get our own wholesale going for some derived goods. We really feel very good about where we're at -- yes, 90% in store through our own retail of our own flower, which is actually up for us from where it was last year. So definitely feel very good about that and currently selling everything we produce with the majority of that going through our own retail.  There might be a little room for us to become a little more vertical, but we also like spreading the product and having a little bit of wholesale. So we can make sure that our customer base gets access across the whole state. Does that answer your question?
Yewon Kang: Yes.
Operator: . Your next question comes from Colin George from Haywood.
Colin George: Well, congrats on the quarter. It seems like pretty much every market is progressing pretty well in California, Massachusetts and Illinois. Just looking for maybe a little bit more color, if you have any, with regards to those LOIs relating to the Illinois dispensaries. Not really a clear idea of when these dispensaries start -- might start opening. One of your peers mentioned that they thought they expected at least a couple of them to be opening in the next few weeks here. Do you have any visibility in terms of the timing on when doors might open on some of those retail locations you're looking to find LOIs with? Or is it still kind of up and here?
Andrew Thut: I'll let Karl jump on that.
Karl Chowscano: Colin, yes, with the current licenses that we have anticipation for LOI under this week, I would not anticipate for us to be opening those prior to the opening of the Matteson facility. So I could see them kind of dovetailing on a parallel path sometime into Q2, Q3 of 2023. Now that does not mean that we're not actively seeking other retail opportunities to enhance our footprint to 10, which may and do include already active retail locations.
Colin George: Okay. Yes, that makes sense. And I guess that was kind of segues into my next question on kind of scheduling the timing of that new cultivation facility to come online after some of these new retail locations open to give you some sort of sell-through points. So I think that all makes sense.  Maybe one more if I can just with regards to sort of what might have been the offset in terms of the growth during the quarter. There was a lot of strong metrics, whether it be from Massachusetts, vapes and edibles or flowers or Illinois progressing along after daily sales. So does that offset just pricing pressure felt across the various markets?
Andrew Thut: Yes. I mean we saw great growth in Massachusetts on an absolute basis on -- same in California. Actually, Keith, do you want to just sort of talk to some of the puts and takes there?
Keith Adams: Sorry, I had to get off mute. Yes. Mass, as you just described, the pricing pressure offset by more of our own product sell-through, as Leo mentioned, close to 90%. Illinois, we're just coming into market with some more -- I think there's 5 strains coming on the shelves in our internal stores inside of December. So we would expect to see some more sell-through there, but there's also pricing pressure in that state. And then also in California, there's pricing pressure in all 3 states. But as we continue to move more and more branded sales onto -- into the digital channel. And so in all 3 states, we're seeing top-down pricing pressure, offset by more of our own products selling through in both Illinois and Mass. Illinois I think it's probably 2 to 3 months behind the progress we've made in Massachusetts.
Operator: There are no further questions at this time. Ladies and gentlemen, this concludes your conference call for today. We thank you for participating and ask you to disconnect your lines.